Operator: Good morning, ladies and gentlemen, and welcome to Comcast First Quarter Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded. I will now turn the call over to Senior Vice President, Investor Relations, Ms. Marlene Dooner. Please go ahead, Ms. Dooner.
Marlene S. Dooner: Thank you, operator, and welcome, everyone, to our first quarter earnings call. Joining me on the call are Brian Roberts, Michael Angelakis, Steve Burke and Neil Smit. As we have done in the past, Brian and Michael will make formal remarks, and Steve and Neil will also be available for Q&A. As always, let me refer you to Slide #2, which contains our Safe Harbor disclaimer, and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. In addition, in this call, we will refer to certain non-GAAP financial measures. Please refer to our 8-K for the reconciliation of non-GAAP financial measures to GAAP. With that, let me turn the call to Brian Roberts for his comments. Brian?
Brian L. Roberts: Thanks, Marlene, and good morning, everyone. I'm really pleased with our start in 2012. In the first quarter, we had strong revenue and cash flow growth and record quarterly free cash flow of $3 billion. Cable had another outstanding quarter with real momentum in High-Speed Internet and Business Services and continuing improvements in Video results. Let's start with High-Speed Internet, which had a particularly strong quarter and customer growth with 439,000 net additions, up 5% from our strongest quarter last year as we continue to significantly outpace the net additions of our competitors. With 37% growth in revenue in the quarter, Business Services has become a significant engine for growth, and we have a mid-market opportunity that is still largely ahead of us. We're also pleased with our improving Video results. And although we reported 37,000 Video sub losses, we believe we can continue to make steady progress with our focus on technical and product leadership, and transforming the service experience and on accelerating innovation. Just in late February, we launched Streampix, which expands our Video offering with thousands of library movie and TV series available to stream anywhere. It's early, and the content choices will expand greatly throughout the year. But we now have a couple million customers who have access to Streampix. Voice had a good quarter with 164,000 net adds, increasing penetration and improving performance as the quarter advanced. This year, we're launching a series of enhancements like readable voicemail and free text messaging, and launching Skype on XFINITY. All of these new features reinforce the value of our Voice product and highlight the growing number of ways in which consumers can communicate using our services. XFINITY Home is now available in 72% of our footprint, offering a compelling service that incorporates home security, home control and energy management, and expands our market opportunity beyond just security. It's clearly very early, and we're just getting started this year, but XFINITY Home adds another growth opportunity for Cable. We're getting ready to expand availability of our X1 cloud-based user interface to hundreds of thousands of homes this year. And just a couple of days ago, we expanded the reach of our cross-marketing partnership with Verizon Wireless to 6 new markets. As you can see, we are focused on continuously enhancing our products, improving the customer experience and driving innovation, and all of this is bringing our XFINITY brand to life and trying to position us as the premier service provider for our customers. So whether you are measuring financial performance or operational excellence, Cable really is doing quite well, and we believe we can maintain this momentum. We also had a good quarter and a nice beginning to the year at NBCUniversal with revenue growth across every segment led by the Super Bowl and 2 successful film releases, The Lorax and Safe House. The Cable Networks and Theme Parks continued to show reliable growth, and we're starting to make some progress in Broadcast. As we've said previously, there is and will be more business volatility and quarterly variability in the results of NBCUniversal than in the rest of the company. Also in 2012, we have a more aggressive Film slate and special big events like the Super Bowl and the Olympics. But when you look through all of this, NBCUniversal businesses are performing well and we're very focused on continuing to execute to build the long-term value of its brands and franchises. We're investing in sports and original programming, and let me give you just a few examples of some of our early successes. In the first quarter, Style's ratings were up double digits, and distribution increased by 18%. Syfy had its most-watched first quarter ever among total viewers and ranked among the top 10 cable entertainment networks in the quarter. At NBC Sports network, ratings for the first round of the NHL playoffs were the best in the network's history, up 16% from the same time last year. NBCUniversal and Comcast Cable are also working well together to launch new programs and innovative products, and we are looking forward to the Olympics to showcase some of our company's unique capabilities. We'll have a lot more to report on these efforts on our next quarterly call, which actually will take place during the Olympics. In the meantime, let me just wrap up by saying that we are very enthusiastic about the progress we're making driving financial and operational excellence across the company. Let me now pass to Michael to cover the first quarter results in detail.
Michael J. Angelakis: Thank you, Brian. Let me begin by briefly reviewing our consolidated financial results, starting on Slide 4. Overall, we are very pleased with our first quarter results, which reflect profitable growth and the fundamental strength in our businesses. First quarter consolidated revenue increased 23% to $14.9 billion, and operating cash flow increased 15% to $4.7 billion, reflecting strong organic growth in our Cable business, as well as consolidating 2011's acquisitions of NBCUniversal on January 28 and the remaining 50% of Universal Orlando on July 1. Free cash flow for the quarter, which excludes any impact of the economic stimulus, increased 37% to $3 billion, reflecting growth in consolidated operating cash flow and some timing benefits in working capital including taxes, partially offset by higher capital and intangible asset expenditures. Free cash flow per share increased 40.5% to $1.11 per share. Earnings per share for the first quarter grew 32% to $0.45 per share from $0.34 per share in the first quarter of 2011. Excluding NBCUniversal transaction and related costs of $0.02 per share in the first quarter of last year, our EPS increased 25% in the first quarter of 2012. Please refer to Slide 5. Now let's take a look at the pro forma results of our Cable Communications and NBCUniversal businesses. Pro forma results are presented as if the NBCUniversal and the Universal Orlando transactions were both effective on January 1, 2010. As you know, we believe that pro forma presentation provides a more meaningful comparison of the operating performance of the businesses. For the first quarter of 2012, consolidated pro forma revenue increased 9.6% to $14.9 billion. Consolidated pro forma operating cash flow increased 9.6% to $4.7 billion. Included in pro forma operating cash flow for the first quarter of 2011 are transaction-related costs at NBCUniversal totaling $92 million. Excluding these costs, our pro forma consolidated operating cash flow increased 7.3%. For the first quarter, Cable Communications revenue increased 5.7% to $9.6 billion and represented 64% of our consolidated revenue, while Cable operating cash flow grew 5.5% to $4 billion and represented over 80% of consolidated operating cash flow. For the first quarter, NBCUniversal generated revenue of $5.5 billion, an increase of 18%, reflecting strong revenue growth in every segment, including the Super Bowl revenue of $259 million in the Broadcast TV segment. Excluding the Super Bowl in the first quarter of 2012, revenue increased 12.4%. NBCUniversal's operating cash flow increased 34.3% to $813 million. Excluding the $92 million of transaction-related costs I just mentioned, operating cash flow increased 16.6% at NBCUniversal. Please refer to the next slide, and let's review Cable Communications results in more detail. We had another strong quarter of financial and customer growth in our Cable Communications business. For the first quarter, Cable revenue increased a healthy 5.7% to $9.6 billion, reflecting growth in our Residential businesses, continued strength in Business Services and solid growth in advertising. We continue to effectively balance ARPU and customer growth. This quarter, total revenue per Video customer increased 8% to $143 per month reflecting rate increases, a higher contribution from Business Services and an increasing number of customers taking multiple products. At the end of the quarter, 73% of our Video customers took at least 2 products, and 38% took all 3 services versus 34% in the first quarter of 2011. We continue to experience real strength in our customer metrics. In the first quarter, combined Video, High-Speed Internet and Voice customers increased by 565,000. Our High-Speed Internet service continues to gain share as we are differentiating our product through service and speed enhancements. We added 439,000 new High-Speed Internet customers in the first quarter, marking the sixth consecutive quarter of HSI net add improvement. In addition, we experienced continued improvement in our Video customer losses. In the first quarter, we lost 37,000 Video customers compared to a loss of 39,000 Video customers in last year's first quarter. We achieved these improved results even as our telco competitive footprint expanded from 36% to 38%, and we implemented rate increases to 62% of our footprint in the first quarter compared to 34% in the first quarter last year. While we continue to make progress with our Video results, we do want to remind everyone we are entering the second quarter, which is a seasonally slower period for our business due to the number of customers we have in college and vacation areas. However, as you can see in our first quarter results, we are executing well, and we are competing better with improved products and services. Our goal is to continue to focus on profitable growth and make improvements in our Video customer experience and performance. As we look at our Service categories, first quarter Video revenue increased 1.6%, reflecting improved customer metrics, rate adjustments and an increasing number of customers taking higher levels of digital and advanced services. We added 243,000 advanced service customers in the first quarter and now have 11.1 million high-def and/or DVR customers equal to 54% of our 20.7 million digital customers. High-Speed Internet revenue was a large contributor to Cable revenue growth in the first quarter. HSI revenue increased 10.3%, reflecting rate adjustments, continued growth in our customer base and an increasing number of our customers taking higher-speed services. Today, 26% of our Residential HSI customers take a higher-speed tier above our primary service. The addition of 439,000 new HSI customer in the first quarter resulted in the penetration of 35% of our network's homes passed. With regard to Voice, revenue increased 2% for the quarter, reflecting continued growth in our customer base, partially offset by a slight decline in Voice ARPU. In the first quarter, we added 164,000 Voice customers and continued to see the pace of Voice customer additions improve, as we have increased our Triple Play sell-in metrics. In addition, as Brian mentioned, we are enhancing our Voice product with lots of new innovative features, such as readable voicemail and free texting through our XFINITY mobile app. Business Services continues its momentum and was a large contributor to Cable revenue growth in the first quarter with revenue increasing 37% to $541 million. Growth in Business Services continues to be driven by the small end of the market or businesses with less than 20 employees. In addition, Metro E and PRI Trunk Voice, which are now available in all of our markets, are making an increasing contribution to the Business Services results. Please refer to Slide 7. First quarter Cable Communications operating cash flow increased 5.5% to $4 billion resulting in a stable margin of 41.2%. In the first quarter, total expenses in Cable increased 5.8%, primarily reflecting higher video programming costs, sales and marketing expenses, as well as continued operating expenses to expand the capabilities in Business Services and other new initiatives. Program expenses increased 5.5% in the first quarter of 2012 as we continue to increase the amount of content we provide to consumers across multiple platforms. As we have mentioned previously, we expect programming expenses to grow at mid- to high-single-digit rates. And in 2012, we expect program expenses to grow at the higher end of that range. In addition, sales and marketing expenses increased 11.7% as a result of higher overall media spend and a continued investment in direct sales to more effectively target customers and enhance our competitive position in both our Residential and Business Services segments. Partially offsetting these higher expenses, we improved efficiencies in our operations as we focus on improving service, reducing churn and increasing customer satisfaction. As a result, customer service and technical operation expenses were relatively flat during the quarter. In addition, bad debt expense improved as we continue to improve our retention, collection and screening processes. Please refer to Slide 8 as we'll review Cable Communications capital expenditures. In the first quarter, total Cable capital expenditures were stable at $1.1 billion, equal to 11% of Cable revenue versus 11.6% in the first quarter of 2011. This reduction in capital intensity reflects scale efficiencies, which helped offset higher investments in CPE, continued investments in network infrastructure and the ongoing expansion of Business Services. During the first quarter, CPE expenditures increased 3% as we deployed 658,000 advanced HD and/or DVR set tops and another 1.3 million digital adapters, but benefited from lower average pricing. Our All-Digital project, which we completed last year, has been a terrific initiative that has provided significant operational benefits and product enhancements and has also generated strong financial returns. We continue to recapture remaining analog bandwidth in a number of our markets as we anticipate additional operating efficiencies and strategic benefits from fully digitizing our systems. First quarter 2012 CapEx also reflects our investment to support the growth in Business Services, which totaled $146 million. Business Services continues to have positive momentum and generate strong returns well above our cost of capital. In addition, we continue to invest capital on our network to ensure superior product leadership in High-Speed Internet and to fund the future expansion of new services like XFINITY Home, Wi-Fi and X1, which expand our product offerings and drive future organic growth. Overall, we are very pleased with our capital investment plan and our focus on strategic areas of growth that yield strong risk-adjusted returns. Please refer to Slide 9, so we can review the pro forma results for NBCUniversal. For the first quarter of 2012, NBCUniversal's revenue increased 12.4% excluding the Super Bowl, and operating cash flow increased 16.6% excluding transaction-related costs in 2011. As Brian mentioned, NBCUniversal has substantial volatility from a quarter-to-quarter basis from businesses like Film, which had a good first quarter and timing issues related to the launch of new programming across our Broadcast and Cable Networks. For the first quarter, our positive results are driven by improvement in Film, steady progress in Broadcast and solid results from Cable Networks and Theme Parks. Now let's take a closer look at the individual segments at NBCUniversal. For the first quarter, Cable Networks generated revenue of $2.1 billion, an increase of 5.8% driven by a 5.9% increase in advertising revenue, a 3.8% increase in distribution revenue and a 20.5% increase in other revenue, primarily due to increases in the licensing of content. Cable Networks operating cash flow decreased 1.4% to $805 million, primarily reflecting higher sports programming costs due to a shift in a number of NBA games to the first quarter of 2012 after the NBA lockout was settled. In addition to sports programming, we continue to invest in original programming, and we're seeing positive results, including USA maintaining its position as the #1 Cable network and good progress at our entertainment and sports networks. With regards to our Broadcast segment, first quarter Broadcast Television revenue increased 36.9% to $1.9 billion and included $259 million of revenue generated by the Super Bowl. Excluding the impact of the Super Bowl in the first quarter, Broadcast revenue increased 17.7% reflecting higher primetime ratings primarily due to the success of The Voice and higher content licensing revenue from a licensing agreement signed in the second quarter of 2011. First quarter 2012 Broadcast operating cash flow decreased $30 million to a loss of $10 million, reflected increased programming and marketing costs to support the mid-season primetime schedule. Moving on to Film. First quarter revenue increased 22.3% to $1.2 billion, reflecting higher theatrical revenue from the strong box-office performance of The Lorax and Safe House, as well as higher home entertainment revenue due to more DVD titles being released compared to last year's first quarter and the success of Tower Heist and Hop. First quarter Film operating cash flow improved by $152 million to $6 million, primarily reflecting higher theatrical revenue. Switching to our Theme Parks segment. We had a strong quarter as Theme Parks generated revenue of $412 million, a 5.7% increase driven by higher per capita spending at the Orlando and Hollywood Parks, which continue to benefit from the success of The Wizarding World of Harry Potter attraction in Orlando and the King Kong attraction in Hollywood. We continue to have healthy attendance in both Orlando and Hollywood as both parks benefit from strong growth in international visitors. First quarter operating cash flow increased 17.1% to $157 million. Please refer to Slide 10 for an update on our 2012 financial strategy. As I mentioned earlier, we generated consolidated free cash flow of $3 billion in the first quarter, an increase of 37%. Free cash flow per share increased 40.5% to $1.11 per share. The first quarter is typically our strongest free cash flow quarter as we pay federal cash taxes in the second, third and fourth quarters. I think I've mentioned this before, but I think you know that we manage Comcast and NBCUniversal as 2 distinct pools of cash flow generation and funding capacity. As you can see on this slide, Comcast, which includes both Cable Communications and Corporate and Other, accounted for $2.2 billion or 72% of total free cash flow. And NBCUniversal contributed $851 million or 28% of consolidated free cash flow. NBCUniversal's free cash flow and cash is retained to build capacity to fund future equity redemptions by GE while Comcast Cable allocates its free cash flow to consistently return capital to shareholders. We view our strong balance sheet as a strategic asset and are committed to remaining a strong investment-grade issuer. At the end of the first quarter, we had $37.8 billion of debt on our consolidated balance sheet and had gross debt to operating cash flow leverage of 2x. We are executing on our 2012 financial plan that we outlined in our year-end earnings call. And during the first quarter, we returned $1.1 billion of capital to shareholders, including share repurchases totaling $750 million and dividend payments totaling $304 million. Overall, our consolidated operating and financial results mark a strong start to 2012. We are progressing according to our internal plans and are continuing to execute on our strategic opportunities. Now let me turn the call over to Marlene for Q&A.
Marlene S. Dooner: Thanks, Michael. Operator, let's open up the call for Q&A, please.
Operator: [Operator Instructions] Our first question comes from the line of Craig Moffett with Sanford Bernstein.
Craig Moffett - Sanford C. Bernstein & Co., LLC., Research Division: Since there's been so much attention to the seasonality trend in basic Video subscribers this quarter, I wonder if maybe, Neil, you could just go through the math a little bit of why we didn't get as large a sequential seasonal swing in basic Video subscribers that we've historically gotten. Was it something in the fourth quarter? Was it something in the first? Just help us understand what happened.
Neil Smit: Craig, I don't think there was really a seasonality impact that was different than previous years. I think the difference was that, as Michael stated, the percentage of our footprint that experienced a rate increase was up from 34% to 62%. I think the size of this footprint that received the rate increase resulted in more customer service calls and slightly higher churn. I think our goal is to continue to improve on Video losses quarter after quarter. This is the sixth consecutive quarter that we've done that. I think without the increase, we would have had better net gain numbers. However, it's great to have this rate increase event behind us, and I think I was pleased that we were able to reduce losses while increasing ARPU 4% on Video and 8% overall.
Operator: Our next question will come from the line of Jason Bazinet with Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: Just have a question for Mr. Roberts. I was wondering if you could just elaborate a little bit on Streampix in terms of how you plan to position that in the marketplace and how long you think it will be before it's ubiquitous across your footprint.
Brian L. Roberts: Well, I think let me start. Neil, you can jump in if you want. It's a good beginning. As I said, we have ubiquitously across the footprint available, we have over couple million who now have access to Streampix. We're beginning to advertise it. You'll probably see some of our ads. They're terrific. The biggest thing is we're going to be increasing the quality and the quantity of the content as we secure more rights and as we put into the servers the rights that we've already got. It's also increasing our On Demand usage, and just in the month of March, we saw real usage right out of the box. So I think it's a nice addition. Neil, you want to add anything to that?
Neil Smit: Yes, I think the intent of it was to fill out our content portfolio, it's complementary. So we have the recent content in the form of linear, the VOD content and now the library content. We're seeing good uptick on usage. It's on both VOD and as a premium. And we also are bundling it with a Video package and broadband as a way to extend our -- off our footprint of HSD-only in DBS households. And that's been well received. So it's a complementary Video product, and we can use it to bundle with other products.
Operator: Our next question comes from Jessica Reif-Cohen with Bank of America.
Jessica Reif Cohen - BofA Merrill Lynch, Research Division: Well, I'll interpret that as one question on each division. So first on SME, I just wanted -- I think Brian mentioned at the beginning of the call that you're about to go full force into the mid-sized market. Can you just talk about what impact that will have on growth? Is it steady as you go or will growth accelerate as you really ramp up? And on the NBCU side, I mean, it seems like your team is solidly in place. I'm just – and ratings are stabilizing at NBC. What's the next step? Is the goal to drive in-house production? Where is the real next driver of value here?
Brian L. Roberts: Jessica, I'll take the SME question and then pass it over to Steve. I think we're getting most of our growth with SME and now Metro E and mid-sized are starting to come in. We're offering 3 products really on the mid-sized. It's both -- it's the Metro E product, the Ethernet, it's PRI, PBX equivalent and now a hosted Voice solution. I think we also have backhaul. We have about -- we've increased the number of installed towers by about 79% since 2010. So I think the growth will continue to ramp in Metro E, and I think the growth rate will remain relatively steady because we're growing it on a larger basis. We think the overall opportunity is $20 billion to $30 billion. We're at about a $2.2 billion run rate now. So that's only a 10% penetration.
Stephen B. Burke: Regarding value drivers at NBCUniversal, I think we have a lot of them. I would start with Broadcast. We're underperforming our peers. And if we got up to the level of our peers, if you look at Broadcast as an ecosystem that includes the network, the owned stations and syndication, we're hundreds of millions of dollars' worth of opportunity just getting to average in that business. And I think we're starting to make some progress, but there's a long way to go. We're headed out to look at pilots, and of course, we have the upfronts coming, and we're optimistic and have made some good progress. Revenues were up 11% for the quarter, not including the Super Bowl. The Voice clearly is going to be something that we can use to build on. So I think Broadcast is a big opportunity. And by Broadcast, don't forget we also have Telemundo, which I think represents opportunity. The Cable channels are really the heart of current cash flow and continue to do well. And we're investing in them, and I think those represent an opportunity over time. Film represents a real opportunity as we have a much stronger slate this year, in my opinion. We'll see whether that translates into increased profitability this year and next, but we're hopeful. And then we've got the Theme Parks, where we've invested and continued to be very bullish about Orlando, where you've got Harry Potter over a year old and doing great, and Hollywood is doing well as well. So we have a lot of different places where we're optimistic about the future. It takes time. As you mentioned, we have our team in place. We've started to make the investments, and we think we had a solid quarter on our way to a good year. But there's a lot of opportunity at NBCUniversal for years to come.
Brian L. Roberts: I just want to add, Jessica, to that, that I also think that the working together between content and distribution adds additional value to our company, but over time, the trend has suggested that really great content is going to be worth more value to distributors with more technological ways to distribute. So as we look forward in the years ahead, not just in the quarters ahead, I think we're sitting on one of the great libraries and one of the great set of brands in the industry. And I believe we'll find ways to monetize that as the technology continues to make it more attractive to consumers.
Operator: Our next question comes from Jason Armstrong with Goldman Sachs.
Jason Armstrong - Goldman Sachs Group Inc., Research Division: Just a question on broadband. There's sort of a fear more broadly that we're nearing saturation from an industry perspective. Your results obviously don't suggest that you're accelerating growth in net adds in the business. Maybe just help us think through the outlook and how you think about balancing volume growth versus the pricing power that you probably could exercise to a greater extent here.
Brian L. Roberts: Jason, I think that we were very pleased with the quarter at 439,000 net adds. And as you said, we continue to drive strong growth quarter after quarter. I think it's fundamentally because we have a -- we feel we have a better product where we continue to increase speeds on top of our DOCSIS platform. I think from a -- there's always a balance between rate and volume. We think we've met that balance pretty well. We increased ARPU 4% this quarter in HSD and drove that sort of growth. So we feel there's still some pricing power as long as we're continuing to improve the product and meet the customer demand.
Operator: Our next question will come from Doug Mitchelson with Deutsche Bank.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: Neil, a clarification. If price increases drove higher churn in 1Q, are fewer price increases causing you -- or price increases in fewer markets causing you to see better churn in 2Q? I'm just curious, any comments you'd have on changes you're seeing in the competitive environment or the economy. I mean, for example, this quarter the phone companies talked a bit about backing off their DSL product. I think Verizon even said they weren't marketing anymore. And FiOS talked about one of their primary goals is also to drive margins now, which makes it sound like promotional activity will be stable or maybe even improve going forward. So any thoughts around the environment and churn will be helpful.
Neil Smit: Yes, I think, as you know, in the second quarter we -- and I think Michael mentioned we have seasonality, both in the college towns, as well as the snowbirds down in some of our Southern markets like Florida. So seasonality does take effect, and it has in all the previous years. I think in terms of competition, I think it varies for each of our services. We always seek the right balance there. There wasn't anything that was significantly different this quarter than the different competitive offers we saw in previous quarters. I think Verizon came out with a relatively low-priced bundle in some markets, and DirecTV is doing some promotional activity around SUNDAY TICKET. But I think we see those kinds of things every quarter, and we feel we're competing very well primarily by innovating at a better rate. We're getting more products out as Brian mentioned. We launched Streampix this quarter. We increased speeds. We're getting more content out there. We've got X1 being launched in this quarter, the second quarter. So we feel good about the innovation, delivering more value to our customers.
Douglas D. Mitchelson - Deutsche Bank AG, Research Division: In terms of churn, Neil, I was thinking about year-over-year rather than quarter-over-quarter. Certainly, understand the seasonality. I was just thinking of 1Q churn was a little bit higher year-over-year that 2Q then might be a little bit lower year-over-year. Any thoughts on that?
Neil Smit: It was generally in the same range, and we don't -- had -- 2Q. The first quarter churn was generally in the same range. It wasn't substantively different. As I mentioned in the rate increases, there was slightly higher churn but not materially different. And the second quarter, I think, we don't generally project forward on churn.
Operator: Our next question will come from John Hodulik with UBS.
John C. Hodulik - UBS Investment Bank, Research Division: Neil, maybe just a follow-up to your comments on X1. Could you just talk a little bit about that? You said second quarter rollout here. Obviously, we know about the trial that I guess you did in Augusta. But how quickly will you be able to roll that across the footprint? And maybe talk about some of the benefits you expect to get, maybe lower churn or better gross adds and talk about the product a little bit. That'd be great.
Neil Smit: Well, as you know, it's a product with cloud-based user interface and advanced navigation. We have apps on it. It's an easier way to discover content, and we're very excited about the test we've been running down in Augusta. People seemed -- they get on the product and they begin to use it more and more. And so we're going to be rolling it out in one major market here this quarter and then it'll go out subsequently to other markets. I think the range we'll see this year will be in the hundreds of thousands. It's dependent upon hardware primarily. It can go on COAM devices and advanced set tops as well, the platform can. And I think the real advantage of it was we put so much of our information up in the cloud, it enables us to innovate more quickly. So putting our VOD content on the Xbox was very relatively simple and a much quicker launch because we had so much up in the cloud. So we're excited about it. I think the impact of it will be, hopefully, more customers wanting to subscribe to our Video service and less churn because they're more pleased with our product.
Brian L. Roberts: I just want to maybe just echo that, for me, if you're on a technological plan that all of your products have ultimate innovation and hopefully, superiority to their competitors, that's a business that you feel very good about. And so in the Video business, in particular to the question, I think what it begins to show is the 2-way network has tremendous advantages over some of the one-way networks like satellite. And we have to execute and make that happen for consumers. That word of mouth has to get out. We have to market it. We have to brand it. But first, we had to invent it and stabilize it to make sure it really was -- had that same experience. And I think that's what we're excited about and we've seen -- it goes across the whole platform. It's all devices, as well as easy to put on, as Neil said, third-party devices. So we think we're making real progress there long term, and I think that's going to be a differentiator. May not happen in a quarter or 2, but we will roll out this major market here the next few weeks, and we're very excited about it.
Operator: Our next question comes from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne - Morgan Stanley, Research Division: Just a clarification and a question. On programming costs, Michael, I think you said mid to high and at the higher end of that for the year, so I just wanted to make sure it's fair to say Q1 was more mid, so you expect it to ramp through the year. And then question for anyone who wants to take it just on the spectrum sale. Obviously, a lot of focus in D.C. there. And I'm just curious if you'd comment whether if the spectrum deal with Verizon is not allowed, is the JV something that continues to be a possibility or are those 2 events tied together in your minds strategically? Because obviously, having a wireless partner is something that I think, Comcast values going forward.
Brian L. Roberts: Yes, why don't I take it. You're right, Ben, the programming costs for the first quarter are sort of in the mid-range. We do expect for the year that when you look at the entire year, that programming costs will be slightly higher than what was represented in the first quarter. We have some contract renewals and some other things that come into play that will boost those costs up a bit for the whole year. With regard to -- I'll take the one with regard to the spectrum sale. We're very optimistic that we'll get the transaction closed in the latter part of the year. I know Verizon Wireless and our folks on the regulatory side are working closely with the FCC and DOJ, and I think both parties are very optimistic we'll get the deal closed. And we'll get it closed, at least, our view is sort of towards the latter half of the year.
Operator: Our next question comes from Stefan Anninger with Crédit Suisse.
Stefan Anninger - Crédit Suisse AG, Research Division: My question is for Mr. Smit. I was hoping you could give us a sense of how many of your Video subscribers are actively using your XFINITY TV online product, and perhaps you could give us a sense of how important you think that product has been to improving your Video subscriber results. In other words, do you see that product as a key driver of your slowing Video sub losses?
Neil Smit: Our XFINITY TV app on the iPad, we've had about a little over 5 million downloads. The people who are using it interestingly are using it -- using the tools more than viewing the long-form content. The tools I'm referring to are search and remote. And we feel it is helping with our customers explore the content and get to the content of a -- in an easier manner. And therefore, our belief is that if customers can find our content and view it in an easier way and it's a great -- a better experience, that there will be more customers wanting to use our service. The other thing I'd say is that it has things like cross-platform search, and I think it enables us to go -- to leverage the advantage, one of the advantages we have, which is great content, linear, VOD, DVR and online. And we believe that's one of the key advantages that we have.
Operator: Your next question will come from James Ratcliffe with Barclays.
James M. Ratcliffe - Barclays Capital, Research Division: Just give us an update on My TV Choice and also the Internet Essentials program and to what degree, if any, they're contributing to subscriber growth?
Neil Smit: James, our My TV Choice is in test in 3 markets. As you know, it's a basic package with different genre bolt-ons. We found that it works well, especially in retention because it gives people choice, and that's what folks are looking for. We haven't made a decision of yet as to how to roll it out on a broader basis, but we're encouraged by the tests. In terms of Internet Essentials, it's not a material contributor to the HSD number, but we're very pleased with the program. It's been exceptionally well received by the market, and we're big believers in getting this service to people, extending the Internet to people who may not be able to afford the higher-priced product.
Operator: Your next question will come from Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo Securities, LLC, Research Division: Just a question on ARPU. What prompted the increase in rate in the quarter? Did the Disney contract have anything to do with the timing here? And then related, can you talk about the contribution from your Home Security business, if anything, to ARPU?
Neil Smit: Marci, it was really an operational decision. We had markets who were ready to take the increases, and we just -- it didn't have anything to do with the Disney contract. It was more operational in nature. With regards -- your second question, please? With regards to Home Security, we've now rolled it out about 73% of our footprint. It's been really well received. I mean, the churn on it is very low. People -- once -- we had to figure out how to best sell it. It's a more consultative sale. But now that we've figured that out, it's going very well in the markets that we're launching. We believe that it won't be a material contributor this year, but it's a great product going forward and will become more material over time.
Brian L. Roberts: And just to be clear, it didn't have really any impact on ARPU at all this quarter. The numbers are way too small.
Operator: Your next question will come from Mike McCormack with Nomura Securities.
Michael McCormack - Nomura Securities Co. Ltd., Research Division: Maybe if you can just make a quick comment, Neil, on this issue regarding Sony and Netflix and the over-the-top offerings being subject to broadband caps and how the FCC might be viewing your side or their side of that. And then just, Steve, if you would, is there any chance you can quantify the impact of the NBA game shifts in the quarter?
Neil Smit: Right now, we don't have plans to introduce any usage-based pricing. I think our goal is to provide the best HSD experience, and I think by the results that we continue to offer in HSD, it's clear that customers are pleased with our thresholds. We review various forms of pricing and structures all the time. We put the instrumentation in place should we decide to go to a different form of pricing. And with regards to Sony and Netflix, I think Netflix articulated in their earnings call that our data thresholds don't really impact their Netflix users at this point.
Stephen B. Burke: So we're not releasing what the effect of the NBA lockout was precisely, but I will say it's one of the few things that happened during the quarter that made the Cable Networks look like they weren't growing. The reported growth was minus 1%. The actual growth was mid-single digits because of a few things like the NBA lockout that really depressed this quarter's growth rate.
Operator: Our next question comes from Tom Eagan with Canaccord.
Thomas W. Eagan - Canaccord Genuity, Research Division: I have a question on video-on-demand. It seems as though the service is finally becoming one that the cable operators can provide some kind of an advantage. So could you give us latest on the buy rates and on advertising on VOD?
Neil Smit: So we -- generally speaking, the usage of VOD continues to increase. We're up to about 400 million views a month. When we launched Catch Up Keep Up, which provides all the catch-up content for the past 4 episodes or in some cases, 5 episodes that the free content usage went up significantly, and that drove more transactional usage. In terms of advertising, as you may have heard, we are now doing dynamic ad insertion pre-roll, mid-roll and post-roll. And we feel that's a great opportunity for advertisers, programmers and distributors. So we'll be looking at -- we're in test with it right now with some different programmers, and we intend to roll that out on a broader basis over the next year.
Brian L. Roberts: Let me just comment that you can see the strategy through that question and Neil's answer, you've got -- we made real progress on OnDemand, I think, back 5, 7 years ago when we first started to get to 400 million users a month. Let's not just walk by that number. That's dramatic customer behavior. You then layer in that we made real progress with broadcasters, and now have a lot of the content to be able to have catch up and keep up. Then you have Streampix, which we've just created, too, as we talked about. Then you've got to be able to have a guide and a user interface that makes it easy to navigate this unbelievably broad set of choices. And that's where X1 kicks in, in addition to some of the improvements we've made on the guide, as well as what we've done with the iPad and on other platforms to be able to search and navigate, as Neil was talking about. And you really can begin as you brand it as XFINITY to see that's a different experience, and that is the trend that we're on. And if you really believe we're headed to an interactive world and each user, not even each household, has their own personal choices and their own control, I don't know that there's a better platform out there than what we've been building, and it's starting to really kick in. And I think we've taken a leadership on this, and it hasn't -- each little quarter, it's getting a little better. And I think we see a lot of progress with innovation happening the next couple years, and we're on a good road.
Operator: Our next question comes from Phil Cusick with JPMorgan.
Philip Cusick - JP Morgan Chase & Co, Research Division: I wonder if you can expand a little bit on the TV Everywhere progress, both on the Cable side maybe in the home, I think it's the Media Mover device. And then in the NBCU side, the potential to start getting paid for customers taking content like what Disney and Time Warner have started to do.
Neil Smit: So I'll take the TV Everywhere question then turn it over to Steve. I think it's important to begin with the definition of TV Everywhere, which is we believe it's having valuable content for our customers on multiple platforms in an authenticated model. Our belief is that we want to offer the broadest selection of content to our customers, the best TV shows and movies across multiple platforms. Right now, we have 35,000 choices on VOD, 225,000 choices online, 8,000 choices on the iPad app. So we've got a lot of choices out there. As Brian said, we're improving the navigation experience. And I think that with regards to programming deals, we've done, as you mentioned, a landmark deal with Disney. We've got TV Everywhere with a number of other programmers. I think we're beginning to bring the experience to life, and so we're very pleased with the progress, and we'll continue to deliver the content and the experience to our customers. Steve?
Stephen B. Burke: And from the content side, I think most of the big content companies now realize that TV Everywhere is important for content companies. And the fact of the matter is anything that allows customers to get what they want when they want it and get more value out of their cable or satellite subscription is good for a content company that relies on cable channels for a lot of their OCF. And I think particularly in a world where you're seeing real numbers come in from retransmission consent, it's important to have key broadcast product on a TV Everywhere basis as well, and you'll see us do a lot of that with the Olympics. How you actually get paid for that whether it's bundled in the rate or whether there's a specific charge I don't think matters too much. I think clearly, it's something that's providing more value for those cable channels, and we got to make sure that we continue to realize that's at least for NBCUniversal and really for all of the big cable companies, that's where a lot of the OCF comes from.
Operator: Our last question will come from Bryan Kraft with Evercore Partners.
Bryan D. Kraft - Evercore Partners Inc., Research Division: Just a question on the Cable Networks. It looks like the growth in distribution revenue is running at about 4% so far this year, and it's down from 10% last year. Just want to understand, is the 4% more indicative of what this year will probably look like? And what do you think the opportunity is to reaccelerate affiliate growth as contracts come up for renewal?
Stephen B. Burke: That number was affected by a one-timer in the first quarter of last year. So I think the real number is going to be north of 5% and not that 3.8% that we reported today.
Bryan D. Kraft - Evercore Partners Inc., Research Division: Okay. And in terms of, I think when you announced the NBCU deal, one of the things you talked about was the opportunity to pry some of the Cable Networks more in line with some of the peers of comparable ratings. And just, Steve, as you go forward, how are you feeling about that opportunity to kind of reprice to market as we go forward?
Stephen B. Burke: I think we have a real opportunity. If you look at the strength of our Cable Networks, both in terms of ratings and just overall demand and then you look at our peers, I think there's no question that we have opportunity on the affiliate side, significant opportunity over time. We have opportunity in terms of retransmission consent, and then we have a major opportunity over time in terms of advertising. The fact of the matter is a lot of our Cable Networks don't have the CPMs that they should have relative to their peers. And on affiliate and advertising, it's going to take time. It just doesn't happen overnight. But the fact of the matter is I think given the ratings we have and the value we're providing, the consumers and viewers of our networks, we have real opportunity over the next few years to get paid more for that.
Marlene S. Dooner: Thank you, Brian, and thank you, all, for joining us this morning.
Operator: There will be a replay available of today's call starting at 12:30 p.m. Eastern Standard Time. It will run through Wednesday, May 9 at midnight, Eastern Time. The dial-in number is (855) 859-2056, and the conference ID number is 64891388. A recording of the conference call will also be available on the company's website beginning at 12:30 p.m. today. This concludes today's teleconference. Thank you for participating. You may all disconnect.